Operator: Thank you for standing by and welcome to the Celestica Fourth Quarter 2020 Earnings Call. [Operator Instructions]. I'd now like to hand the conference over to Craig Oberg, Vice President, Investor Relations. Mr. Oberg, please go ahead.
Craig Oberg: Good morning, and thank you for joining us on Celestica's fourth quarter 2020 earnings conference call. On the call today are Rob Mionis President and Chief Executive Officer; and Mandeep Chawla, Chief Financial Officer. As a reminder, during this call we will make forward-looking statements within the meanings of the U.S. Private Securities Litigation Reform Act of 1995 and applicable Canadian Securities Laws. Such forward-looking statements are based on management's current expectations, forecasts and assumptions, which are subject to risks, uncertainties and other factors that could cause actual outcomes and results to differ materially from conclusions, forecasts or projections expressed in such statements. For identification and discussion of such factors and assumptions as well as further information concerning forward-looking statements, please refer to today's press release including the cautionary note regarding forward-looking statements therein, our most recent annual report on Form 20-F and our other public filings, which can be accessed at sec.gov and sedar.com. We assume no obligation to update any forward-looking statement except as required by law. In addition, during this call, we will refer to various non-IFRS measures including operating earnings, operating margin, adjusted gross margin, adjusted return on invested capital or adjusted ROIC, free cash flow, gross debt to non-IFRS trailing 12-month adjusted EBITDA leverage ratio, adjusted net earnings, adjusted EPS, adjusted SG&A and adjusted effective tax rate. Listeners should be cautioned that references to any of the foregoing measures during this call denote non-IFRS measures whether or not specifically designated as such. These non-IFRS measures do not have any standardized meanings prescribed by IFRS and may not be comparable to similar measures presented by other public companies that use IFRS or who report under U.S. GAAP and use non-GAAP measures to describe similar operating metrics. We refer you to today's press release and our Q4 2020 Earnings Presentation, which are available at celestica.com under the Investor Relations tab for more information about these and certain other non-IFRS measures including a reconciliation of historical non-IFRS measures to our most directly comparable IFRS measures from our financial statements. Unless otherwise specified, all references to dollars on this call are to U.S. dollars and per share information is based on diluted shares outstanding. Let me now turn the call over to Rob.
Rob Mionis: Thank you, Craig. Good morning, everyone, and thank you for joining us on today's conference call. Celestica delivered a solid fourth quarter to end the year of unprecedented challenges. Fourth quarter revenue was within our guidance range, while operating margin, and adjusted EPS were above the midpoint of our ranges. Within our ATS segment, we achieved strong revenue growth in health tech and capital equipment and reported sequential improvement in segment margin for the third consecutive quarter, as well as improvement in segment margin on a year-over-year basis. Despite these successes, demand weakness in commercial aerospace offset the strong growth in other businesses. Within CCS, we successfully concluded our fiscal disengagement in the fourth quarter. Q4 revenue decreased year-over-year and sequentially with fiscal revenue declines, more than offsetting growth in other areas. Despite the revenue decline, the segment posted extended margin on a year-over-year basis for the fourth consecutive quarter and operated above our 2% to 3% target range. Our JDM business continues to experience impressive growth. JDM revenues were $211 million in the fourth quarter, up 53% year-over-year. JDM represented approximately 15% of our total company revenues in Q4. Many of you attended our JDM Roundtable in December where we discussed key elements of the business. For example, we noted that we have more than 500 JDM design engineers across the globe, working on current and next generation hardware platform solutions. We have over 280 patent safeguarding our hardware technical advantage and we drive a robust IP management process. Since the inception of JDM, we have launched over 150 programs and shipped more than 2.5 million units to our customers worldwide. The term Joint Design and Manufacturing or JDM described this offering as it began over a decade ago as a co-development model. However, we feel the term does not fully reflect the extensive evolution of our business over the last 10 years. It does not describe the breadth and depth of our current offering and roadmaps. The scope of our capabilities across the product life cycle, now, the leading-edge solutions, which have been fueled by more than 10 years of significant R&D investment. Therefore, moving forward, we will be referring to JDM as Hardware Platform Solutions or HPS. Said more simply, JDM is an engagement model and capability that we offer within our broader hardware platform solutions offering. We believe that HPS is a highly-strategic offering within Celestica's portfolio, currently enabled by our comprehensive slate of more than 40 hardware platforms. Moreover, our HPS offering support customers across the product lifecycle and generates accretive margins sharing many of the highly-valued attributes of our ATS segment. Additionally, HPS has a diverse patent portfolio, comprehensive product roadmaps and a deep ecosystem of partnerships with industry leading companies. HPS revenue and ATS segment revenue together represent what we call Lifecycle Solutions. In 2020, Lifecycle Solutions represented more than half of our total revenue and had an average growth rate of 8% over the last three years. We expect the revenue growth of Lifecycle Solutions to continue in the coming years and to represent a larger portion of our total revenues. This is in-line with our diversification strategy and provides higher value-added solutions to enable our customers. I will provide some additional color on our end markets and outlook shortly, but first, I will turn the call over to Mandeep to give you some details on the fourth quarter and our first quarter 2021 guidance.
Mandeep Chawla: Thank you, Rob, and good morning, everyone. For the fourth quarter of 2020, revenue of $1.39 billion was within our guidance range and decreased 7% year-over-year and 11% sequentially. Our non-IFRS operating margin for Q4 2020 was 3.6%, 10 basis points above the midpoint of our revenue and adjusted EPS guidance ranges, up 70 basis points year-over-year and down 30 basis points sequentially. The year-over-year improvement was driven by improved productivity and mix across several of our businesses. The sequential decrease was due to mix in CCS, partly offset by improvements in ETS. Non-IFRS adjusted earnings per share were $0.01 above the midpoint, up $0.08 year-over-year and down $0.06 sequentially. Fourth quarter IFRS earnings per share were $0.16, up $0.21 year-over-year and down $0.08 sequentially. Our ATS segment was 37% of our consolidated revenues during the quarter, down from 39% in the fourth quarter of last year. ATS revenue was down 12% compared to last year and in-line with our expectations of a low double-digit percentage year-over-year decline. Sequentially, ATS revenue was down 2%. The year-over-year and sequential decline was driven primarily by continued pressure in A&D specifically in our commercial aerospace and industrial businesses, largely due to COVID-19. This was partly offset by continued strength at health tech and capital equipment driven by new program ramps [ph]. Our CCS segment revenue was down 4% year-over-year in line with our expectations of a low single-digit year-over-year decline due to the Cisco Disengagement. Sequentially CCS revenue was down 15%. As we look forward to the next few quarters the disengagement from Cisco will continue to impact our year-over-year comparables. However, we are pleased with the growth we are seeing in the rest of the CCS portfolio. Revenue from our remaining CCS customers grew by 15% in Q4 2020 compared to the prior year period. Within our CCS segment, the communications end market represented 43% of our consolidated fourth quarter revenue, up from 39% in the fourth quarter of last year, driven by growth in HPS. Communications revenue in the quarter was up 2% year-over-year, primarily due to robust demand from service provider customers offsetting the impact from the Cisco Disengagement. Sequentially, communications revenue was down 15%, mainly driven by the Cisco Disengagement. Our enterprise end-markets represented 20% of consolidated revenue in the fourth quarter, down from 22% in the same period last year. Enterprise revenue in the quarter was down 13% year-over-year and down 14% sequentially. Year-over-year and sequential declines were mainly driven by demand softness. Our HPS business continue to be an area of strength in the fourth quarter with revenue up 53% year-over-year driven by new program ramps and our ability to deliver on increased demand from our hyperscaler customers. For 2020, HPS achieved $862 million of revenue, up 80% compared to 2019 and accounted for 15% of our total company full year revenue. As Rob mentioned, Lifecycle Solutions' revenue is comprised of the revenues from our ATS segment and HPS business. For the full year 2020, Lifecycle Solutions represented $2.95 billion dollars in revenue, up 7% year-over-year and accounted for 51% of our 2020 consolidated revenue. Our top 10 customers represented 67% of revenue during the fourth quarter, down 1% from the same period last year and last quarter. Top 10 customers represented 66% of our 2020 revenue, up 1% from last year. For the fourth quarter, Celestica had two customers who represented 10% or more of our total revenue compared to one in the prior quarter and two in the fourth quarter of 2019. No customer represented more than 10% of 2020 revenues. Turning to segment margins. ATS segment margin continued on a positive trajectory achieving a margin of 3.9%, up 90 basis points year-over-year and up 20 basis points sequentially. The year-over-year improvement was driven by volume leverage in our capital equipment and health tech businesses, combined with our productivity actions which more than offset the headwinds in our A&D business. The sequential improvement was driven by improved performance across a number of businesses. CCS segment margin of 3.4% was above our target range of 2% to 3%, up 50 basis points year-over-year, but down 60 basis points sequentially. Year-over-year margin improvement was driven by our productivity actions and favorable mix. The sequential margin declined which was anticipated was mainly due to normalizing demand and fewer one-time recoveries. Moving on to some additional financial highlights for the quarter. IFRS net earnings for the quarter were $20.1 million or $0.16 per share, compared to a net loss of $7 million or $0.05 loss per share in the same quarter of last year. And net earnings of $30.4 million or $0.24 per share in the third quarter of this year. Adjusted gross margin of 8% was up 140 basis points compared to the same period last year and a 30 basis points sequentially. Year-over-year and sequential improvements were largely driven by improved mix and productivity efforts across the business despite lower revenue. Fourth quarter adjusted SG&A of $56.5 million was up $4.1 million versus a year ago, primarily due to higher variable compensation. Adjusted SG&A was relatively flat sequentially. Non-IFRS adjusted operating earnings were $50 million, up $6.3 million from the same quarter last year and down $10.1 million sequentially. Our non-IFRS adjusted effective tax rate for the fourth quarter was 19% compared to 27% for the prior year period and 20% last quarter. We are pleased with the improvement in our overall tax rate, largely due to a normalization of profit mix. For the fourth quarter, adjusted net earnings were $33.3 million compared to $23.7 million for the prior year period and $40.9 million last quarter. Non-IFRS adjusted earnings per share of $0.26 were within our guidance range and up $0.08 year-over-year due to higher operating earnings, lower taxes, and lower interest expense. Sequentially, non-IFRS adjusted earnings per share were down $0.06 mainly due to lower operating earnings, partly offset by lower taxes. Fourth quarter non-IFRS adjusted ROIC of 12.4% was up 1.8% compared to the same quarter of last year and down 2.8% sequentially. Annual adjusted ROIC for 2020 was 12.4%, up 3.2% compared to 2019. Moving on to working capital. Our inventory at the end of the quarter was $1.09 billion, down $114 million sequentially and up $99 million relative to the prior-year period, largely driven by investments in our HPS business. Inventory turns were 4.4 in the fourth quarter, down 0.3 turns sequentially and down 1.1 turns year-over-year. Capital expenditures for the fourth quarter were $19 million or approximately 1% of revenue. Non-IFRS free cash flow was $18.5 million in the fourth quarter compared to $43.8 million for the same period last year. We are pleased to have been able to generate positive free cash flow for eight quarters in a row, despite the unprecedented challenges in 2020. Looking at the full year 2020 we generated non-IFRS free cash flow of $126 million in-line with our full year target of generating $100 million or more. Cash cycle days in the fourth quarter were 73 days, up 11 days year-over-year and up 12 days sequentially. Our cash deposits at the end of December 2020 were $175 million, down $32 million sequentially. Moving on to some additional key metrics. We've continued to maintain a strong balance sheet, our cash balance at the end of the fourth quarter was $464 million dollars, down $16 million compared to 2019 and up $12 million sequentially. Combined with our $450 million revolver, which remains undrawn. We have a very strong liquidity position of over $900 million in available funds. We believe we have sufficient liquidity to meet our current business needs. Our gross debt position was $470 million at the end of December 2020 while our net debt was $6 million, an improvement of $13 million versus the end of the third quarter of 2020. Our fourth quarter gross debt to non-IFRS trailing 12-month adjusted EBITDA leverage ratio was 1.6 turns, flat sequentially and is 0.6 turn improvement from Q4 2019. The year-over-year improvement is the result of strong free cash flow generation, disciplined debt reduction and improved operating profitability. At the end of December 2020, we were compliant with all financial covenants under our credit agreement. As we have shared previously, our capital priorities are to return 50% of free cash flow to shareholders and to invest the remaining amount in the business over the long term. We are pleased with our track record over the last 10 years, making strategic investments in the business while at the same time returning over $1.2 billion to shareholders through buybacks. When looking at investments, we are focused on both organic opportunities and capability-based acquisition. When approaching an acquisition, our approach and filter are well-defined. We look for investments that are aligned to our strategic roadmaps with the filter intended to ensure that they drive accretive EPS in year one, and in ROI that exceeds our cost to capital by a year two or sooner. We also weigh these investment decisions in its alternative uses of cash, such as share buybacks. Recently, our stock price has been undervalued having traded below tangible book value for the majority of 2020. In response to this undervaluation and in order to opportunistically purchase shares, we launched a share buyback program on November 2019. In the fourth quarter, we incurred $70 million [ph] of restructuring charges to adjust our cost base to better adapt to fluctuating levels of demand, including in our A&D business and as we completed the Cisco Disengagement. For the full year 2020, we have recorded $26 million of restructuring charges against our earlier estimate of $30 million. Now turning to our guidance for the first quarter of 2021, we are projecting first quarter revenue to be in the range of $1.175 billion to $1.275 billion. At the midpoint of this range, revenue will be down approximately 7% year-over-year and down 12% sequentially. First quarter non-IFRS adjusted earnings per share are expected to range between $0.18 to $0.24 per share. At the midpoint of our revenue and adjusted EPS guidance ranges, our non-IFRS operating margin would be approximately 3.4%, an increase of 50 basis points over the same period last year and a decrease of 20 basis points sequentially. Non-IFRS adjusted SG&A expense for the first quarter is expected to be in the range of $51 million to $53 million. Based on the projected geographical mix of our profit in the first quarter, we anticipate our non-IFRS adjusted effective tax rate to be approximately 20%, excluding any impacts from taxable foreign exchange or unanticipated tax settlement. Turning to our end market outlook for the first quarter of 2021. In our ATS end market we anticipate revenue to be down in the mid-single-digit percentage range year-over-year due to sustained weakness in commercial aerospace as a result of COVID-19, partly offset by growth in our capital equipment and health tech businesses. For 2021 however, we are targeting ATS revenues to grow 10% year-over-year, largely driven by ramping program and capital equipment and health tech. In CCS, we anticipate our communications end market revenue to be down in the high single-digit percentage range year-over-year, driven by our disengagement from Cisco. The remainder of our portfolio is growing, driven by strength in HPS. In our enterprise end market, we anticipate revenue to decrease in the low teens percentage range year-over-year driven by weaker end market demand. I'll now turn the call over to Rob for additional color and an update on our business priorities.
Rob Mionis: Thank you, Mandeep. 2020 was an unprecedented year due to the COVID-19 pandemic. However, our entire global team mobilized quickly and stepped up to meet the challenges head on. As the number of COVID-19 cases rises again around the globe, we are seeing government respond with additional restrictions to slow the spread of the virus. We continue to effectively manage COVID-19-related challenges and are currently experiencing minimal disruption to our operations. As circumstances evolve, we will continue to adapt to any new challenges and work to maintain operational continuity. Now turning to our segments, in ATS, strong bookings momentum has us excited about our prospects to grow this portion of our business. We continue to see strong demand in our capital equipment business driven by increased demand in our base semi business as well as new program ramps across a number of adjacent capital equipment markets. Industry sources are forecasting continued growth in wafer fab equipment in 2021. In our display business, we anticipate growth towards the end of the year at site utilization rates for small form factor displays are expected to drive increased demand. In A&D, headwinds continue in our commercial aerospace business as operators continue to work to reduce overall expenses in light of reduced demand. We continue to take cost productivity actions given that we anticipate market headwinds to persist through 2021. Demand in our defense business remains stable and we continue to make investments to grow this business. We are encouraged by the bookings momentum in A&D as we have added nine new customers, including major airframers and defense contractors. In industrial, we continue to experience a recovery of demand across our customer base as the impact of COVID-19 begins to moderate. And within health tech, we continue to experience strong growth as we continue to ramp recent winds, we expect a strong momentum to continue into 2021. Now turning to CCS, we continue to reap the benefits of our portfolio shaping efforts resulting in improved revenue mix and margins. Our Hardware Platform Solutions business posted another quarter of growth partly offsetting the impact from our Cisco Disengagement. I'm pleased that we have achieved our backfill target with a richer mix of programs. As I look back on our performance in 2020, we improved our operating results on a year-over-year basis, driving significant segment margin and adjusted EPS growth while also generating strong free cash flow. Additionally, we made meaningful progress in a number of areas towards executing our strategy. First, our global team responded to the difficulties posed by the pandemic, maintained the high standard of service despite the challenges posed to operations. As a result of this effort over 90% of the participating customers rank Celestica either number one or number two on their customer scorecards. Second, despite meaningful headwinds in some of our key markets, we improved ATS segment margin by 50 basis points in 2020 compared to 2019 and CCS operated above its target segment margin in the last three quarters of 2020. Non-IFRS operating margin of 3.5% improved 80 basis points in 2020 as compared to 2019 and non-IFRS adjusted EPS in 2020 was up 80% year-over-year. Third, despite the volatility seen in customer demand and the difficult macro environment, we successfully executed on a number of new program ramps, which allowed for double-digit percentage revenue growth in our HPS business as well as other markets. Our HPS business show impressive growth of 80% compared to 2019 as a result of investments made over many years. We believe HPS will continue to be a driver of growth for the company in the future. And finally, we strengthened our balance sheet by generating over $100 million of free cash flow, reducing our net debt position to $6 million and launching an NCIB program to opportunistically repurchase shares. We believe that our transformational efforts over the last few years have positioned our business to capitalize on new opportunities and overcome challenges that might lie ahead. As we enter 2021, we remain committed to our strategy of diversifying our business, growing revenue in targeted areas and improving margins. As such, we have set the following targets for ourselves. First within our ATS segment, we are targeting 10% year-to-year revenue growth in 2021 and for the business to return to its target margin range of 5% to 6% by the end of the year, driven by growth in capital equipment, industrial and health tech, as well as ongoing cost productivity actions. Second, within our CCS segment we are targeting high single-digit percentage growth in our HPS business, which will partially offset our non-HPS revenue decline primarily as a result of a disengagement with Cisco. CCS segment margin is expected to be firmly in our target range of 2% to 3% in 2021. Third, we are targeting to generate $100 million or more of free cash flow in 2021 and we'll continue to have a disciplined approach towards capital allocation. And lastly, we expect Lifecycle Solutions revenue, which is comprised of ATS segment in HPS business revenues to grow in the high single digits, further enabling us to achieve our objective of materially diversifying our revenue in the next few years. To sum up, I am pleased with our performance in a very challenging environment. The last few years required some difficult decisions and focused efforts, but we believe that these decisions and our strong execution are paying dividends. We remain committed to executing on our strategy to drive long-term sustainable profitable growth. I would like to acknowledge and thank our employees for their hard work and dedication to our business. Their efforts have been tremendous. As a global team, we have overcome the unprecedented challenges faced in 2020. I have the utmost confidence that we will continue to deliver results and execute on our priorities for 2021. And finally, I would also like to thank our customers for their trust and loyalty and our shareholders for their continued support of Celestica. We look forward to updating you on our progress over the coming quarters. And with that I would now like to turn the call over to the operator to begin our Q&A.
Operator: Certainly. [Operator Instructions] Paul Steep with Scotia Capital. Your line is open.
Paul Steep: Great. Good morning. Maybe talking just talking a little bit, but it's been a consistent theme across, I guess almost the last year where your health tech businesses is incited as new program ramps. Maybe talk to us a little bit more about what the outlook is for that business in terms of expanding it and how meaningful it is within the portfolio.
Rob Mionis: Hi, Paul. Good morning as well. Yes. Health tech business has been growing quite nicely for us over the last year and is expected to be a source of growth for us going forward. It is the smallest segment within our ATS business. That being said, we grew by over 30% in 2020 and we're looking for very strong growth in 2021. We've recently won a lot of new programs in the areas of ultrasound, PPE, diagnostic equipment and frankly all equipment-related to combatting this terrible virus that we have on our hands. On the flip side, some of the demand for surgical instruments is a little bit sluggish as well. But you know, we continue to win new programs we continue to have a very capable team and we're very bullish on the outlook for the full year for our health tech business.
Paul Steep: Fantastic. And then just maybe to clarify overall on the comments here. Mandeep or Rob, either of you, could you weigh in, I guess one on what your expectations would be around CapEx and then maybe help us frame how we should think about the working Cap moves in the business obviously, with growth in, I guess what we're now calling HPS. It seems like that sort of held up or is that unrelated in terms of maybe a little bit more upfront working cap demand? Thanks, guys.
Mandeep Chawla: Sure. Good morning, Paul. So maybe I'll start at the highest level, which is we are targeting to generate over $100 million of free cash flow in 2021. We continue to see improvements in our overall working capital, but there are dynamics happening and you're hitting on a couple of them. Our inventory has been growing to support the HPS business over 2020, so we believe we have sufficient levels of inventory, but as that business continues to grow and again, we're targeting high single-digits growth in 2021, we'll proportionally build the inventory. But to help offset some of that we still have inventory builds in other parts of our business that we still need to continue to unwind and we're working very diligently towards doing that. The rest of the working capital is largely in-line with our expectations. For CapEx. CapEx came in lower in 2020. We typically generate around 1.5% of our revenue in CapEx or maybe more simplistically, maybe around $80 million we've spent per year. We spent about $55 million in 2020 and a lot of that had to do with COVID and just putting projects that were in of the highest priority on hold and some of them shifting into 2021. Our outlook right now is somewhere in the $80million to $90 million range for CapEx in 2021. So back to more normalized levels.
Paul Steep: Great. Actually, and a last one, just to clarify, Mandeep, I know you've mentioned cost actions a few times. I'm assuming all those are buried and baked into sort of the higher-level commentary you guys provided this morning.
Mandeep Chawla: It is. So, we've been taking restructuring actions as you know for a number of years. This year we took $26 million restructuring, we had an original estimate of $30 million. We were able to spend a little bit less because of the good progress that we made on ramping new programs in facilities where we were losing revenue, but we will be taking some tuck-in actions in 2021 as well. I would assume that the restructuring charges looking into next year will be more at our normalized levels, somewhere in the $10 million to $15 million range.
Paul Steep: Perfect. Thanks guys.
Operator: Todd Coupland with CIBC. Your line is open.
Todd Coupland: Great. Good morning, everyone. I also wanted to ask about a segment in ATS, the semiconductor segment. You're calling it out as a growth area in 2021. Can you talk about the pace of growth in the semi business and whether that forecast is locked in or could there be pockets of strength and the reason I'm asking is, investors often want to connect what appears to been a surge in the semi market and link that back to how it impacts your customers in your business. Thanks very much.
Rob Mionis: Thanks, Todd. Yes, a couple of equipment has been strong in 2020 and we expect it to be strong in 2021. As you know, just from a broad market perspective, what we're seeing here is the long-term secular growth themes in the semi-industry including the build out of data centers, the expansion of high-speed communication networks, while being accelerated because we also read in the news of the auto industry equipment are saying that running out of check [ph], it's largely for the older 200 millimeter technology equipment. And they are also upgrading their designs, which is again bodes well for wafer fab equipment growth. UBS, just raised their predictions for 2021 from 8.5% to 12% and on top of that, a good portion of our wins and our growth in 2021 is coming from new program growth and share gains going into 2021. So all that being said, we're bullish on the outlook within capital equipment will get stronger as the year gets longer. In terms of our visibility, customers typically provided slot plans, I guess out for six month, [indiscernible] for six months and then inside of the quarter. They can confirm things up, turn to wiggle around obviously, but I would say that's kind of the visibility that we have. But broadly speaking, industry analysts and our customers are bullish about the year in the secular trends.
Todd Coupland: And those lot plans, if you were to compare them now to where they were - I guess at the end of September, can you sort of characterize the change in one quarter to the next?
Rob Mionis: Yes, there's certainly increasing align with the forecast for 2021. Tt's been picking up a little bit relative to the September time frame. Again, it takes a little time for the slot plans to turning into POs [ph]. It is capital equipment, so industry is certainly cyclical and somewhat dynamic. But the trends are certainly there.
Todd Coupland: One last question from me if I could. The margin impact from this pickup in ATS, just talk about the rhythm over the course of the year and how that fits with that 5% to 6% outlook by the fourth quarter. Thanks a lot.
Mandeep Chawla: Great. Good morning, Todd. So, we've been happy with performance and the momentum that we've been seeing in ATS. As you know, we did 3.9% just this last quarter and we are expecting to continue to see improvement going into 2021. We're targeting to get back into the target margin range of 5% -6% by the end of the year and really to drive us to get us from where we are to there. It's continuing growth in capital equipment that would be the largest driver. We expect continuing performance from the health tech business as we ramp programs and have a strong margin profile. But capital equipment, because of its heavy fixed cost structure as we continue to grow the revenue, we will see disproportionate benefits [ph]. So we expect that we will see some margin improvement, especially as we go towards the second half of 2021.
Todd Coupland: Great. Thanks a lot.
Mandeep Chawla: Thanks, Todd.
Operator: Robert Young with Canaccord. Your line is open.
Robert Young: Hi, good morning. I think you said that the revenue from customers outside of Cisco in the CCS business had grown. I think it was 15%. Maybe you could reconfirm that number. And if you could talk about that relative to the capacity that's left unused by Cisco, how is that backfilling? Are these new customers, are you part in this, you're backfilling some of that capacity and where are you in backfilling the Cisco business?
Mandeep Chawla: Great. Good morning, Rob. I'll take the first part and I'll let Rob take the second part. So yes, CCS did grow excluding this. It's good as engagement. We grew by 15% in the fourth quarter when you exclude Cisco and another KPI if you look at it on a full year basis CCS actually grew by 9% excluding the Cisco Disengagement and I'll let Rob touch on the second piece.
Rob Mionis: Yes. Hi, Rob. So, as we previously mentioned, we're not looking to battle the fiscal revenue dollar-for-dollar. But we focus on revenue that has a higher value add content. We put a target in place for ourselves at the end of last year and we fulfilled that target. I would say the mix is largely on our HPS business in terms of backfilling that target and we're very pleased that we're able to achieve that goal, and very pleased with how our portfolio shaping initiatives are coming along.
Robert Young: Okay, great. And then the way that you're going to go forward reporting the JDM or HPS business. It's still going to be reported under the CCS to the margin target of 2.3% in 2021. That includes HPS. Am I correct with that?
Mandeep Chawla: That's correct. Rob. We continue to have two operating businesses: ATS and CCS. But when we just talk about the revenue as Lifecycle Solutions, we're putting the revenue of HPS and ATS together just to highlight the fact that they have a very similar attribute. But our ATS business is firmly in the CCS segment and the 2% to 3% margin target range is inclusive of that.
Robert Young: Okay. Great. And then the growth in the JDM business in 2020 is very strong and you're declining now to single digits is still good, but is there any potential for upside or why is it declining - why did the growth decline so much? And then is there potential for the growth to be higher than what you're guiding today based on opportunity for you [ph].
Rob Mionis: Hey, Rob. Yes, we had some very, very strong growth, 80% growth year-over-year with HPS. It is still growing in 2021 and there is certainly opportunities for upside, it all just depends on the long-term secular trends in terms of switching Edge Compute and the expansion of data centers around the world. We have a very healthy portfolio of products. So we'll have to see how the year plays out but right now we think high-single digits is where it's going to land, but it certainly could be higher.
Robert Young: And I guess part of what I was asking is that the HPS business has the cycle time. Is it the type of business where you could book and then convert business in 2021 that you don't have in your plan today?
Rob Mionis: Yes, absolutely it. It's a business you can actually book and do have book and bill inside the year. No question about it.
Robert Young: Okay. And maybe last question from me, I'll pass the line. The margin recovery in the ATS business, could you say that that's more driven by the cost takeout and efficiencies that you guys are looking for or would just say, it's more driven by the strength in the other areas, the semi-cap that you were talking about earlier in other another areas or string [ph]?
Mandeep Chawla: Yes, Rob, I would say it's a combination of the two. On the A&D side we are needing to take cost actions to align to the demand outlook. And so, we've already taken a number of actions and we'll be prepared to continue to take some if we need to. But in the areas of health tech and capital equipment, we're seeing good revenue growth, very strong revenue growth frankly in 2021, which is giving us the benefit of scale. And then on the industrial side, we are starting to see some sequential improvement and again because we've already taken cost productivity actions, a lot of that growth does help come to the bottom line.
Robert Young: Okay, great thanks for answering all the questions.
Mandeep Chawla: Thanks, Rob.
Operator: Paul Treiber with RBC Capital Markets. Your line is open.
Paul Treiber: Thanks so much. Good morning. I just wanted to dive in a little bit more into the outlook for 2021 on the ATS segment, the 10% growth. What do you see when you're looking at that forecast and building up to it as a potential upside opportunities and conversely potential downside risks when you look on outlook?
Rob Mionis: Hey, Rob. We'll look forward, I would say, first, we have a comprehensive roadmap and engagements across all the core technologies and data center this past year. And also going into 2021, we see 400G as a key driver of figures provide growth. We have strong position with market leaders and other speeds and also a healthy wide-back [ph] business. So we hedge as being a source of growth. We have developing Edge program such as MEC, Multi-access Edge Compute servers that are resonating with emerging customers and were continue to focus on enabling each customers with the right Edge solutions as their requirements evolve. We're seeing some strength from our Communications customers in the wired side driven by expansion of 4G, to 4G+, to 5G and we also have shown data center cloud offering and portfolio positions also across the broader edge. And then lastly, I would say computer is a source of growth for us. We have a healthy business as data centers continue to expand AI and ML [ph] applications may continue to grow. We also have to compute positions with our enterprise customers and service provider customers as well. So, I would say the broader trends is just additional growth by web scale demand strength. The downsides could be just slowdown in some of these secular trends. Service providers tend to buy equipment and consume their own demand, so sometimes when we have it built up, they have a little bit of a paused demand until the next technology of products hit. So, I would think that would be on the flip side.
Paul Treiber: I think you're referring to HPS there. Is that correct?
Rob Mionis: Yes, I was talking about HPS. I'm sorry, did you say ATS or HPS?
Paul Treiber: Yes. I mean - for ATS, when you worked a very…
Rob Mionis: Oh, ATS. I'm sorry.
Paul Treiber: No problem.
Rob Mionis: Well, hopefully I was helpful for you on HPS. I'm sorry about that. For ATS, we see growth in capital equipment. As I mentioned before, again good long-term secular trends in terms of build-out of data centers, expansion of high-speed communication networks, things like that. We certainly see health tech expanding in 2021 as the need for diagnostic equipment continues to be very strong. PPE, ultrasounds, things on those lines. We see aerospace still being sluggish but I mentioned during the call that we won nine new customers. Those programs should be turning into revenue in the back half of 2021 and helping our commercial aerospace business. And then lastly our industrial business is flattening out and fully starting to turn the corner. We're expecting some growth from our industrial business in 2021 as well as COVID-19 subsides.
Paul Treiber: And just diving a little bit more into commercial aerospace, I mean typically how long are the lead time in that segment and are you - you mentioned that there's new programs mainly to revenue in the second half of the year. In terms of your other programs, the existing programs, do you see them normalizing by the end of the year or there's still likely headwinds on the existing programs in that segment?
Rob Mionis: Yes. Lead times are long. That's a good thing and a bad thing. The programs that are ramping in the back half of the year, we actually won of those programs in early in 2020. So, they'll start ramping in the back of 2021. I would say commercial aerospace still has a little bit of ebbs and flows. But I would say, it's flattening out right now at trough levels.
Paul Treiber: Okay. Thank you, Rob. I'll pass the line.
Operator: Thanos Moschopoulos with BMO Capital Markets. Your line is open.
Thanos Moschopoulos: Hi, good morning. Just to come back on ATS margins. I mean if you look at this, you can get back to 5% to 6% with what sounds like only a modest improvement in commercial aerospace. Does that imply that as we had 22%, there might be upside to that range as commercial aerospace has more of a recovery?
Mandeep Chawla: Hi, Dennis, good morning. Yes. So, as you know before the pandemic, aerospace defense was our largest segment within ATS and had very strong margins overall and frankly, we're the largest contributor of profitability within ATS. That's not the case right now and so we're working towards getting back to the 5% to 6% range. We're expecting a nominal contribution from A&D and so when A&D does return - and it will - and we continue to have the capabilities to support the market when that demand has come back, that would be a positive thing for overall ATS.
Thanos Moschopoulos: Okay. And then if you could expand on your comments for display equipment. You mentioned the uptick you're expecting later this year, the small screens. Should we think of that as kind of a gradual ramp or might that be more of a step function as new capacity is believed to come online?
Rob Mionis: You're talking about capital equipment, Thanos?
Thanos Moschopoulos: Display equipment.
Rob Mionis: Oh, display equipment. Thanks. I have to check twice now before I answer the question. Yes, display, I would think it would be more of a gradual ramp. I think it will be a tale of two halves [ph]. I think it will be a sluggish first half and a stronger second half. But as you go from half-to-half, it will build over the year, gets long. What we're seeing in the second half of the year is hopefully growth by mobile orders and new program ramps coming from China, Japan and Korea-based OEMs. We've also seen some improvements in panel prices and panel makers profitability, which bodes well to them spending additional CapEx.
Thanos Moschopoulos: As far as new large fabs coming online, that we might be more about 2022 [ph] possibility?
Rob Mionis: Yes, I think display will get stronger as time goes on. I think we are expecting that the back half of 2021 to be much stronger than the first half of 2021, but we're also expecting 2022 to be much stronger than the back half of 2021 as well. So the long-term trends for display are positive, but I think 2022 will be much stronger than in 2021 for display all things considered.
Thanos Moschopoulos: Great, thanks. I'll pass it on.
Rob Mionis: Okay.
Operator: Ruplu Bhattacharya with Bank of America. Your line is open.
Ruplu Bhattacharya: Hi. Thank you for taking my questions. The first one, just to clarify, the CCS segment revenues for Fiscal 2021, are they still expected to decline double digits year-on-year? Because you've guided HPS to grow high-single. Then that would mean the rest of the CCS segment would be declining somewhere in the mid-teens year-on-year? Would that be all Cisco? I'm just trying to reconcile this because I think you said in 2020, CCS x Cisco [ph] grew high-single digits. Or maybe just to clarify, I mean is CCS revenues, do you expect them to decline double digits year-on-year in Fiscal 2021?
Mandeep Chawla: Yes. Good morning, Ruplu. We're not giving specific guidance on overall CCS revenue, but I'll tell you the dynamics to think about. The first one is we are targeting HPS again to growing the high single-digit range. It's a $850 million business right now and so that will generate growth. Cisco will be coming out and Cisco is going to come out for the entire year. So that is going to be a headwind for the remainder of the portfolio and then for the rest of CCS, we're expecting right now for it to be relatively flat going into 2021. There was a very strong level of demand that took place in 2020 because of all the dynamics that we've been talking about and so some of that will subside and that will be offset by programs that we're ramping. So, growth in HPS, Cisco comes out and the rest of the portfolio to be flat.
Rob Mionis: The only thing I would add, Ruplu, is that most importantly, CCS is growing in our targeted areas is what we're focused on.
Ruplu Bhattacharya: Okay, thanks for the clarification on that. And then just on the ATS side, you're guiding mid-single-digit decline for the first quarter and the full year is still up 10%. So, any comments on the seasonality we should expect throughout the year? Can we expect like from Q2 onwards year-on-year revenue growth or would you expect that the growth to be more in the second half versus the first half?
Mandeep Chawla: Hi, Ruplu. So yes, we are showing a decline in the first quarter and then we are expecting a full year of 10% growth. A lot of that growth is going to be back half-oriented, although it could lead to year-to-year growth even in the second quarter. We're not going to give quarterly guidance at this point, but what I would say is that we think that the first quarter will be in terms of growth rates to be the largest headwind for the full year and then where that growth is coming from is, Rob has touched on a few of them within A&D. We have been winning some new programs, so we should see some growth towards the back end of the year. We are already seeing strong demand on the semi-conductor side, which will continue, but we think could accelerate towards the end of the year and then display is also expected to come online a little bit more in the back end of the year. So, first quarter we expect to be a drag and then some growth coming after that.
Ruplu Bhattacharya: Okay. Thanks for that. And for my last question, I think you're guiding SG&A to $51 million to $53 million for the first quarter. What were COVID-related expenses in the quarter? How should we think about that going forward? And should we think about SG&A at this level for the rest of the year, at least in or maybe in terms of percent of revenue? Can you maintain that for the rest of the year? Thank you.
Mandeep Chawla: Yes. To answer both questions, Ruplu, we did have COVID costs in the quarter. It was in the range of around $8 million - some in SG&A, some in COGS as well. We did generate a number of recoveries both from customers as well as from various government programs in the countries that we're in, which mostly offset that. So we had about $10 million of recoveries. But when you look at the full year, we had a negative impact. We ended up having far greater COVID costs than we did overall recoveries. In terms of our SG&A going into next year, we are looking to maintain our SG&A at dollar levels that are similar to 2020. We're driving productivity in the number of areas, but we're also taking the opportunity to invest in some of the areas where we're seeing very rapid growth. We will be making further investments in the HPS business, we are making engineering investments within the ATS business and those are really aligned with road maps that we have where the businesses are showing good strong growth for a number of years. So, we want to maintain our capabilities in 2021 because we are bullish on the longer-term revenue outlook.
Ruplu Bhattacharya: Great. Thanks for all the clarifications. Appreciate it.
Mandeep Chawla: Thanks, Ruplu.
Operator: Jim Suva with Citi. Your line is open.
Jim Suva: Thank you. You have been very clear with the Cisco Disengagement. Now that that's behind us, can we look more forward positively to the future? As you book a business pretty stable with those customers as well as your profit profile going the right direction where you want it? Or are there additional disengagements, or pruning, or realignments to products that we should be mindful of as you look ahead?
Rob Mionis: Hi, Jim. Good morning. Yes, I would say overall, things are generally stable. As I mentioned on the call, one of the things we do measure is how we rank in our customer scorecard and we were ranked number one and number two in over 90% of our customers scorecards. We're keeping cost-effective networks and taking appropriate actions to stay that way. I think we've proven that we're quite disciplined so we're not pursuing revenue for revenue's sake or staying aligned to our strategy. At times, we might feel that it's better to step away from very low margin business, but we do that to a strategic lens. And our goal really is to grow our business profitably in the right segments and across CCS specifically, I think we're doing that and we're happy with the progress we're making in HPS and also because of the value-adds that we're providing to our customers, the margin profile of that incremental business that we're booking.
Jim Suva: Great. Thank you so much for the details and clarifications.
Operator: Kurt Swartz with Stifel. Your line is open.
Kurt Swartz: Hi, good morning. I'm hoping to get a little bit more color on the supply environment given all the headlines regarding component shortages. I'm hoping you can talk about any constraints you may be seeing and how you're responding from an inventory procurement perspective.
Rob Mionis: Yeah, hi. Yes, it's certainly very dynamic out there, the situation is fluid. What we're seeing is a demand increase coupled with the impact of COVID. We've been preparing for this. We've probably sort of coming couple of quarters ago. So we've been preparing for one or two quarters of uncertainty. Just across the market, we're seeing which bodes well for our Semicap business that foundries are reaching capacity the 8-inch wafers are running tight in 2021. The high-end semiconductor's logic Mosfet's [ph] transistors memory all commodities, I think increasing lead times or we're seeing order level spike for chip resistors and even MLCCs [ph] again and several manufacturers have started to implement order entry controls based on customers' historical consumption to make sure we don't get into too much buffering. That being said, we've opened up our windows, ordering windows and placing our orders at the new phase and lead times and paying very close attention to the dynamics in the marketplace and working with the customers to make sure we secure supply. We've also increased our resources in this area to make sure we stay on top of the dynamic situation.
Kurt Swartz: Understood. Great. And then on the health tech side, I'm hoping you could maybe elaborate a bit more on where we stand with COVID product related ramps, those with electric product demand and how those two should sort of reconcile in the coming quarters.
Rob Mionis: Yes. COVID-related products and more diagnostic related products are the ones that are certainly driving the majority of our growth - ultrasound PPE, diagnostic equipment, anesthesia, respiratory, patient monitoring, imaging devices, things like that; surgical instruments, things that require, elective surgery has been sluggish. We expect that to uptick in the back part of the year, but time will tell, it's really going to be a function of how quickly COVID subsides.
Kurt Swartz: Understood. And then maybe one more if I could.
Rob Mionis: Sure.
Kurt Swartz: Just on the defense business. Given the new U.S. administration, maybe any expectations for defense budgets? I'm wondering how that should sort of factor into the long-term ATS growth profile of roughly 10%?
Rob Mionis: Yes. So within our A&D business, about 60% is commercial, about 40% is defense. Our defense business is stable. We're looking to grow that more. We've recently doubled the size of our New Hope Minneapolis facility, which is part of the Atrenne acquisition from 50,000 sq ft to 100,000 sq ft that is now open for business. We have a full funnel. A lot of the business that we have booked is headed into that facility. So we're looking to increase our defense business moving forward and also the Biden administration recently just signed the Buy American Act as well and that bodes well for having our tough facilities in the U.S., especially as it relates to providing the U.S. government product for their use.
Kurt Swartz: Great. Thank you very much.
Operator: We have one more question from Daniel Chan with TD Securities. Your line is open.
Daniel Chan: Yes. Thanks for squeezing me in. Your net debt position is getting to breakeven. If you put your $100 million target this year, you'll be at a nice cash position throughout the year. Just any thoughts on how you want to deploy that capital? You did talk about the NCIB in the share price. Are you kind of leaning towards that versus acquisitions and maybe any comments you have about the acquisition pipeline will be helpful? Thanks.
Mandeep Chawla: Yeah. Good morning, Dan. So to your point, we're at almost the breakeven level right now. We are looking to generate strong free cash flow going into next year. We have the NCIB program at this point open to be opportunistic. As you know, we have a track record within the industry of buying back, frankly, the most shares relative to the rest of the peer group. And so we are willing to act opportunistically when we believe the share price is undervalued. It was undervalued for the majority of 2020. But we we'll take an opportunistic approach as we go through the year because we're going to continue to weigh that against organic and inorganic alternatives such as continuing to build dry powder by paying down some more debt, reducing our interest expense working towards expanding our EPS, investing in other types of growth programs and capabilities. But we do continue to have an active M&A pipeline, but we're just very disciplined with our filter. We've looked at a significant amount of transactions through 2020 and for one of the few reasons that we have in our filter didn't get our support. So we'll continue to do that. We're looking to invest in areas where we have good solid strategic roadmaps and where we know that we can plug in the capabilities and do something really good with it. Whether that's in our ATS business or in our HPS business. So we'll continue to take a similar approach, but it is nice when you have a net debt position that it opens up a lot of alternatives.
Operator: There are no further questions at this time. I'd now like to turn the call back over to Robert for final remarks.
Rob Mionis: Thank you, Jack. After a strong finish to 2020, our focus is on continuing to execute for our customers in 2021. Our margins in ATS are expanding and we anticipate entering back into our target margin range by the end of the year, on the back of strong forecasted growth. And in CCS, we expect Hardware Platform Solutions to continue growing after CCS deliver margins firmly in their target range for this year. I'd like to thank our global team for remaining vigilant and keeping themselves safe and each other safe. And thank you for joining today's call. I look forward to updating you as we progress throughout the year. Please stay safe.
Operator: This concludes today's call. We thank you for your participation. You may now disconnect.